Operator: Good afternoon. Thank you for standing by. And welcome to the AppFolio Incorporated Second Quarter 2021 Financial Results Conference Call. Please be advised today’s conference is being recorded and replay information will be given at the end of the broadcast. [Operator Instructions] I would now like to hand the conference over to Erica Abrams.
Erica Abrams: Thank you, Ally. Good afternoon, ladies and gentlemen. And thank you for joining us today as we report AppFolio’s second quarter of 2021 financial results. With me on the call today are Jason Randall, AppFolio’s President and CEO. This call is simultaneously being webcast on the Investor Relations section of our website at www.appfolioinc.com. Before we get started, I would like to remind everyone that AppFolio’s Safe Harbor policy. Comments made during this conference call and webcast contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and are subjects to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. AppFolio’s actual future results could differ materially from those expressed in such forward-looking statements, for any reason, including those listed in our SEC filings. AppFolio assumes no obligation to update any such forward-looking statements except as required by law. Please see our filings with the SEC, including our Form 10-Q, which was filed earlier today for greater detail about risks and uncertainties. With that, I will turn the call over to Jason Randall, AppFolio’s President and CEO. Jason, please go ahead.
Jason Randall: Thank you, Erica. And welcome to everyone joining us for AppFolio’s second quarter of fiscal year 2021 financial results. As those of you who follow us closely know Ida Kane our former Chief Financial Officer departed AppFolio in early June 2021 and the finance team is presently reporting to me on an interim basis. With our search for a new Chief Financial Officer currently underway, I will be discussing the details of both our financial and strategic progress in the second quarter. For the quarter, we reported total revenue of $89 million and GAAP net income of $2 million or $0.06 per diluted share. GAAP net income includes an income tax benefit of $0.3 million, as well as $3.2 million in non-cash charges related to stock-based compensation. Our Form 10-Q was filed today and includes more details on our results. On the call today, to enhance clarity and comparability, I will discuss the results of our continuing real estate business for comparable periods historically, excluding the impact of our former MyCase business, which we divested in the third quarter of 2020. To that end, revenue from AppFolio’s continuing business for the second quarter of 2021 was $89 million, which represents an increase of 22% total revenue of $72.8 million reported in the same period in 2020. The increase in revenue year-over-year is mainly attributable to growth in the number of property management customers we serve, which correlates to an increase in the use of our core subscription solutions and our usage-based Value Plus services, which are designed to enhance, automate and streamline processes and workflows that are essential to our customers’ businesses. At the end of the second quarter we had over 16,500 real estate property management customers, which represents an increase of 10% reported in the same period one year ago. Those customers had 5.82 million units under management in our property management ecosystem at quarter end, which represents growth of 18% from 4.94 million units reported in the same period in 2020. Core solutions revenue derived from subscriptions to customers in our continuing real estate business in the second quarter was $25.4 million, an increase of 20% over $21.2 million in the same period one year ago. Value Plus services revenue from our continuing business was $60.4 million in the second quarter, an increase of 25% over $48.2 million for Q2 2020. Revenue from AppFolio’s Value Plus services benefited from increased demand for electronic payment services in the second quarter of 2021 as primarily residents, property managers, owners and customers transact more business online than they did a year ago. Furthermore usage of our tenant screening and insurance services increased year-over-year consistent with the increase in units under management. As a reminder, while we also experience growth in several other Value Plus service offerings, especially those primarily related to the rental process, a significant majority of our Value Plus services revenue comes directly and indirectly from the use of our electronic payment services and its screening services and insurance services, all of which we make available to customers and other constituencies in our property management ecosystem. Turning now to spending. Total costs and operating expenses in the second quarter were $87.8 million, representing a year-over-year increase of 30% relative to $67.5 million from our continuing business in the prior year. Our year-over-year increase in costs is primarily related to three key expense areas. First we saw an increase in personnel related costs coming primarily from a 22% year-over-year expansion in headcount that we believe will enable future growth and positively impact long-term shareholder value. Second, we saw an increase in third-party transactional cost that supported over 25% year-over-year increase in our Value Plus services revenue. Third, we saw an increase in expenses related to online advertising and virtual marketing events that were designed to support key investments in the business this year and beyond. Moving to the balance sheet. At June 30, 2021, our principal source of liquidity or cash, cash equivalents and investment securities, which had an aggregate balance of $163.1 million. During the quarter, we generated $15.1 million for operating activities. In addition we used $5.7 million for capitalized software development in connection with ongoing investment in our technology and service offerings, as well as $1.9 million for capital expenditures. We also spent $4.9 million in connection with tax withholdings for RSU net share settlements. Our Q2 financial performance reflects AppFolio’s continued focus on delivering value to new and existing customers in the form of foundational software and services designed to address key challenges and opportunities both now and into the future. Our customers rely on AppFolio to unlock value and efficiency in their businesses and to leverage their digital transformation has a competitive advantage in the real estate industry. Within AppFolio Property Manager, our solutions automate and streamline core aspects of property management, accounting, leasing, maintenance and communications. In the second quarter we introduced key functionality in our core AppFolio Property Management solutions to improve customer success in leasing and renewals. Rental history verification and the lease renewal probation are designed to help customers increase revenue retention by minimizing manual tasks throughout the rental application flow and bringing their lease renewal process online into a single workflow. AppFolio Property Manager at Century 21 Haggerty Company commented, now that we have a process that can be filled out quickly and electronically we are seeing same day, sometimes same hour responses, which makes our turnover so much quicker. We continue to serve large -- larger portfolios with AppFolio Property Manager PLUS in the second quarter recognizing the evolving needs these distributed portfolios have for deeper business insights, robust automation and more advanced customer experiences, a smart home technology and hardware see more adoption in the multifamily housing space. We are laying a foundation for PLUS customers to manage their properties remotely through technology integrations with leading hardware vendors like Smart Rent. Our software is designed to deliver efficiency gains by automating workflows to free staff to focus on growth and customer relationships. According to Mark Tuohy, Director of Operations for Locations, a large portfolio of customer, AppFolio Property Manager Plus is an integral part of our operation. The customization of the reporting functions, online application features, bill pay and excellent customer service support have truly helped our business reaches maximum potential. For our customers managing Community Association portfolios, we have expanded capabilities that are designed to help them serve homeowners and board members by digitizing automating certain aspects of their business. Customers like Crystal Smith, Director of Finance for Elite Housing Management are realizing added value recently telling us, since using AppFolio three and a half years ago, our business has grown from 1,600 units to nearly 10,000 units. AppFolio delivers top of the market customer service and new ideas that help us do more with ease every day. As part of AppFolio ongoing mission to be a trusted long-term partner to customers, we hosted the AppFolio Virtual Wave Summit bring together technology, education and service. This conference was available at no charge to both existing and potential customers creating a digital space for industry leaders to discuss the latest trends, technologies, innovation to the forefront of real estate. We are proud that AppFolio Property Manager was selected in Q2 at the Best AI-based Solution for Real Estate in the Annual AI Breakthrough Awards, by applying more automation and standardization through technology we strive to create more freedom for our customers to focus on the strategic aspects of their business and make space for them to foster deeper connections with their customers. AppFolio Property Manager customer Carina Lyons, Corporate Vice President of Concept Property Management had this to say, we feel that AppFolio AI Leasing Assistant has changed the game for us. We were simply unable to keep up before AppFolio. It’s been fantastic and actually allowed us to rent faster. We have started the gradual re-openings of AppFolio office hubs in Santa Barbara, Los Angeles, San Diego and Dallas. While we are mindful of CDC, state and local guidelines with respect to workplace safety, we are also encouraged by the sense of community and innovation is being felt across our campuses. As we look toward returning to the office more fully over time we are excited to utilize a hybrid working model that provides flexibility and work location coupled with vibrant offices designed for collaboration. With that said, we continue to monitor our business team culture carefully, as we experience some of the same challenges that other companies are facing, including a competitive labor market and COVID-related impacts. I’d like to express my sincere appreciation to our team for the resilience and dedication they have shown in leading our business during this period. As a testament to our customer centric culture, just this month we received the news that AppFolio has been recertified as a Great Place to Work marking our fifth consecutive year. Congratulations to all AppFolians. Looking ahead, we remain focused on generating long-term sustainable growth through our technology and pace of innovation, and are providing exceptional experiences to our growing customer base that relies on AppFolio’s cloud-based software to power their businesses, especially as they adapt to the evolving needs and expectations of their own customers and business ecosystems now and into the future. Given our performance to-date, we now expect total revenue from our continuing business for fiscal year 2021 to be in the range of $350 million to $355 million. The midpoint of the range implies year-over-year growth of 23.8% in 2021. We continue to expect our weighted average diluted share count for the year to be approximately 36 million shares. Thank you all for joining us today. I will now turn the call back to the Operator. Please go ahead.
Operator:
Q - :
 :
Operator: Thank you for participating in today’s AppFolio Incorporated second quarter 2021 financial results conference call. This call will be available for replay beginning at 7.30 p.m. Eastern Time today through midnight on August 12, 2021. The conference ID number for the replay is 2995293. Again the conference will be number for the replay is 2995293. The number to dial replay is 855-859-2056 or 404-537-3406. Once again, we would like to thank you for participating on today’s conference call. You may now disconnect.